Operator: Good morning, ladies and gentlemen. And welcome to the Gentex Corporation Fourth Quarter 2015 Financial Results Conference. Just a reminder that today's call is being recorded. And now it's my pleasure to turn the conference over to Mr. Josh O'Berski with Gentex Investor Relations Manager. Please go ahead, sir.
Josh O'Berski - Head-Investor & Media Relations: Thank you very much. Good morning and welcome to the Gentex Corporation fourth quarter and year-end 2015 earnings release conference call. I'm Josh O'Berski, Gentex Investor Relations Manager, and I'm joined by Steve Downing, Senior Vice President and Chief Financial Officer; Kevin Nash, Vice President and Chief Accounting Officer; and Neil Boehm, Vice President of Engineering. This call is live on the Internet by way of an icon on the Gentex website at www.gentex.com. All contents of this conference call are property of Gentex Corporation and may not be copied, published, reproduced, rebroadcast, retransmitted, transcribed, or otherwise redistributed. Gentex Corporation will hold responsible and liable any party for any damages incurred by Gentex Corporation with respect to any unauthorized use of the contents of this conference call. This conference call contains forward-looking information within the meaning of the Gentex's Safe Harbor statement included in the Gentex reports fourth quarter and year-end 2015 financial results press release from earlier this morning, and as always, shown on the Gentex website. Your participation in this conference call implies consent to these terms. Now, I will turn the call over to Steve Downing who will give the fourth quarter 2015 financial summary.
Steve Downing - Senior Vice President and Chief Financial Officer: Thank you, Josh. For the fourth quarter of 2015, the company is pleased to report net sales of $405.6 million, an increase of 16% compared to net sales of $350.4 million in the fourth quarter of 2014. The increase was primarily due to a 17% increase in auto-dimming interior and exterior rearview mirror shipments on a quarter-over-quarter basis. For calendar year 2015, the company's net sales increased 12% to $1.54 billion compared to $1.38 billion for calendar year 2014 as a result of a 14% increase in auto-dimming interior and exterior mirror unit shipments. The gross profit margin in the fourth quarter of 2015 was 40.2% compared with a gross profit margin of 38.4% in the fourth quarter of 2014. This reported gross margin represents the highest gross profit margin reported by the company on a quarterly basis since the second quarter of 2004. The improvement in gross profit margin was primarily due to purchasing cost reductions, and the company's ability to leverage fixed overhead costs, which were partially offset by annual customer price reductions. The gross profit margin for calendar year 2015 was 39.1% compared with a gross profit margin of 39.2% for calendar year 2014. Gross profit margin was primarily impacted by annual customer price reductions and foreign currency fluctuations, which were offset by purchasing cost reductions and product mix. Operating income for the fourth quarter of 2015 increased 28% to $126.7 million when compared to operating income of $98.6 million for the fourth quarter of 2014. The reported operating margin of 31.2% represents the highest operating margin reported by the company on a quarterly basis since the first quarter of 2004. For calendar year 2015 operating income increased 15% to $458.7 million up from $398.8 million in calendar year 2014. Other income decreased to $2 million in the fourth quarter of 2015 compared with other income of $5.4 million in the fourth quarter of 2014, primarily due to reduced year-end mutual fund distributions, increased interest expense, and lower realized gains on the sale of equity investments. Net income for the fourth quarter of 2015 was $88.4 million, up 25% compared with net income of $71 million in the fourth quarter of 2014. Net income in calendar year 2015 was $318.5 million, up 10% compared with net income of $288.6 million in the calendar year 2014. Earnings per diluted share in the fourth quarter of 2015 were $0.30 compared with earnings per diluted share of $0.24 in the fourth quarter of 2014. Earnings per diluted share were $1.08 for the calendar year 2015 compared with $0.98 for calendar year 2014, which reflects the December 31, 2014 stock split effected in the form of a 100% stock dividend. The company repurchased 1.8 million shares of its common stock during the fourth quarter of 2015, and for the year ended December 31, 2015, the company repurchased approximately 6.7 million shares of its common stock, pursuant to its previously announced share repurchase plan. As of December 31, 2015 the company had approximately 4.6 million shares remaining available for repurchase in the plan. The company intends to continue to repurchase additional shares of its common stock in the future depending on macroeconomic issues, market trends and other factors that the company deems appropriate. Now, I'll turn the call over to Kevin Nash with some fourth quarter 2015 financial details.
Kevin C. Nash - Chief Accounting Officer and Vice President of Accounting: Thank you, Steve. As Steve mentioned earlier auto-dimming mirror unit shipments in the fourth quarter of 2015 increased 17% compared with the fourth quarter of 2014, and for calendar year 2015 increased 14% compared to calendar year 2014. Automotive net sales in the fourth quarter were $395.9 million, up 16% compared with $342.4 million in the fourth quarter of 2014, and for calendar year 2015 were $1.51 billion, up 12% compared with $1.34 billion in calendar year 2014. Other net sales, which includes dimmable aircraft windows and fire protection products, were $9.7 million in the fourth quarter, up 22% compared with $8 million in the fourth quarter of 2014, and for calendar year 2015 were $36.7 million, up 4% compared with $35.4 million in calendar year 2014. E, R&D expenses in the fourth quarter were $23 million, which was a 5% increase versus E, R&D expense of $21.8 million in the fourth quarter of 2014 as a result of increased staffing and benefits, which was partially offset by reimbursables and favorable foreign currency fluctuations. SG&A expenses during the fourth quarter were $13.6 million, which was down 5%, versus SG&A expense of $14.3 million during the fourth quarter of 2014. Increased marketing and advertising expenses during the quarter were offset by favorable foreign currency fluctuations. The tax rate during the fourth quarter of 2015 was 31.3%, which varied from the statutory rate of 35%, primarily due to domestic manufacturing deduction, and the effect of the PATH Act, which was signed into law in the fourth quarter and reinstated retroactively to January 1, 2015 for various tax provisions that had expired as of December 31, 2014. For calendar year 2016, the company expects its tax rate to be between 31.5% and 32.5%. Now, for some balance sheet items, cash and cash equivalents were $551.6 million, up from $497.4 million as of December 31, 2014, primarily due to cash flow from operations. Accounts receivable was $196 million, up from $168 million as of December 31, 2014 primarily due to higher sales levels. Inventories were $174.7 million up from $141.8 million as of December 31, 2014 primarily due to increases in raw materials and finished goods in support of increased sales levels. Long-term investments were $95.2 million versus $114.6 million as of December 31, 2014 primarily due to reductions in unrealized gains on equity investments, and realized gains throughout calendar year 2015. Accounts payable was $66.4 million versus $71.5 million as of December 31, 2014, primarily due to the timing of inventory and capital expenditure payments. Accrued liabilities were $64.7 million versus $62 million as of December 31, 2014, primarily due to timing of certain tax and wage payments. Unrealized gains on equity investments declined from $10.9 million as of December 31, 2014 to $830,000 at the end of the fourth quarter of 2015 as a result of realized gains and the current market conditions. Some cash flow highlights. Cash flow from operations for the fourth quarter of 2015 were $68.4 million, down from $99.8 million in the fourth quarter of 2014 primarily due to increased net income of $17.4 million, and a $9.3 million increase in depreciation on a quarter-over-quarter basis, which was more than offset by changes in working capital of $60.8 million. Some of those items are; the negative impact on operating cash flow was a combination of changes in prepaid expenses and accrued liabilities of $29.7 million, which were both a direct result of the impact of timing of the signing of the previously mentioned PATH Act into law, and the shift from an income tax liability at the end of the third quarter to a refundable income tax position as of December 31. Other changes to working capital include decreases in accounts payable of $20.4 million and changes of AR and inventory of $10.1 million. Year-to-date cash flow from operations increased to $318.5 million from $288.6 million, primarily due to increases in net income, again, which was partially offset by changes in working capital. Capital expenditures for the fourth quarter of 2015 were $35.7 million compared with $22.5 million in the fourth quarter of 2014. And calendar year 2015 CapEx was $97.9 million compared with $72.5 million in calendar 2014. And based on the progress of the company's current and planned CapEx projects, the company estimates capital expenditures to be in the range of $115 million to $130 million for calendar year 2016. Depreciation and amortization expense for the fourth quarter was $16.9 million, and for the year, it was $80.6 million. Depreciation finished 2015 below the company's guidance, primarily due to the timing and closure of certain capital expenditure projects pushing into 2016. As a result, the company estimates that depreciation and amortization for calendar 2016 will be between $90 million and $100 million. I will now hand the call back over to Steve for a business development update.
Steve Downing - Senior Vice President and Chief Financial Officer: Thanks, Kevin. The last few months have been very exciting time for Gentex. The company presented at the SEMA Automotive Aftermarket show in November, where the company was pleased to display Nissan's LMP1 Le Mans race car in our booth that featured a wide range of products, including the company's full display mirror, Exterior Auto-Dimming Mirrors, as well the company's rearward-facing video camera. These products were all used on the race version of the Nismo Le Mans car and received very positive feedback from the race team at Nissan regarding its performance and value. This was followed quickly by the CES show in January where the company worked with Cadillac on a co-marketing effort to debut the first full display mirror applications on the all new Cadillac CT6 and XT5 vehicles. Cadillac and Gentex worked together to use these new vehicles in the Gentex booth as the center piece for their social media launch of the vehicles and the new full display mirror technology at CES. General Motors' Chairman and CEO, Mary Barra, gave a key note at CES surrounding the debut of the Chevy Bolt, and during this presentation announced the availability of the company's full display mirror on this new vehicle. This marked the third vehicle that GM has announced that will utilize our full display mirror in production applications. The launch of full display mirror across General Motors' products continues to be one of the most talked about product debuts in recent company history. Despite all of the excitement in technology and advances of in-vehicle electronics, the full display mirror is the first and only FMVSS compliant mirror-based solution which can also be used as a full-time display. Additionally, the company has previously announced that it has three other OEM customers that will debut the full display mirror in their vehicles over the next 18 months. Also during the fourth quarter, the company reached an agreement with TransCore to develop and integrate an automotive-based Universal Toll Module for the North American market. This product was part of the company's CES display and was met with significant customer and consumer interests. The company will continue to work towards developing customer interests in the product and we are optimistic that the business case for the OEMs will result in a production award in the next 12 months to 18 months. I'll now hand the call over to Neil Boehm for a product and technology update.
Neil Boehm - Vice President-Engineering: Thank you, Steve. On the launch side, the company has continued to demonstrate solid growth at one of the fastest rates in company history. This growth is being driven by continued penetration of our core electrochromic technology on many vehicles that are new applications for our products. Looking at the growth rate of inside and outside electrochromic mirrors, as measured in new vehicle launches, the company has continued a solid history of growth over the last three years. In 2013, the company had 37 new launches of inside and outside electrochromic mirrors. In 2014, there were 43 new launches of inside and outside electrochromic mirrors, and in 2015 the company had 63 new launches of inside and outside electrochromic mirrors. The company also continues to grow the number of applications with our advanced features. During 2013 and 2014, the company experienced growth in advanced features despite losses of Rear Camera Display in North America, and as a result, the number of new advanced feature launches were muted. In 2015, feature launches were the largest in company history. The growth in 2015 was a result of increased launches in all technology areas, and the fact that the previously announced RCD losses were complete. Advanced features account for approximately one-half of our revenue growth, and these include our frameless mirror executions and electronic content from SmartBeam, HomeLink, compass displays, lighting technology and full display mirror. As an update to our HomeLink growth strategy for the China market, we currently have two OEMs that are launching in 2016 with low-volume executions. As we've mentioned previously, when developing a new market such as HomeLink in China, it is reasonable to expect lower volume applications first and then the opportunity for growth and penetration over time. These two launches represent the first executions of the company's strategy for this product in China. I'll now hand the call back over to Steve for 2016 guidance.
Steve Downing - Senior Vice President and Chief Financial Officer: Thanks, Neil. Our guidance for calendar year 2016 is based on the mid-January 2016 IHS production forecast for calendar year 2016. The current IHS production forecast for our major markets is expected to be up 2% for calendar year 2016, and based on that the company estimates that net sales for calendar year 2016 will be between $1.64 billion and $1.72 billion. The company continues to see strong orders and book business despite modest vehicle production increases in our primary markets. While the fourth quarter of 2015 represented great sales and operating performance, the company is estimating that the gross profit margin will be between 38.5% and 39.5% for calendar year 2016. Historically, annual customer price reductions account for the primary reduction in gross margin on an annual basis. However, given the current sales forecast and our projected product mix for 2016, the company continues to believe that it will be able to offset the majority of those annual customer price reductions with purchasing cost reductions and operational efficiency. Since the acquisition of HomeLink in 2013, the company has continued to demonstrate growth and margin discipline and is confident in its ability to continue to do so. Given the seasonality of price reductions, the company typically faces headwinds in gross margin as a result of price reductions weighted toward the first half of the year, but then starts to gain leverage in the latter half of the year. On the operating side, the company expect ER&D and SG&A expenses for the calendar year 2016 to be between $152 million and $160 million, representing continued industry-leading investment in research and product development. The company also plans to continue to invest in selling and marketing efforts at a rate of growth that approximates the rate of sales growth for the company. The net result of this discipline should result in continuing our historical record in industry leading operating margins all while investing for the future. Historically, the company has been able to show strong business growth and outperformance versus automotive light vehicle production in its primary markets. Recently, however, speculation surrounding cameras and displays replacing mirrors has created concerns around that growth story. In an effort to show that the company has a sustainable business build for the long term, the company is also providing revenue guidance for calendar year 2017. This revenue guidance is based on the mid-January 2016 IHS light vehicle production estimates in the company's primary markets for calendar year 2017, which are currently estimated to be a 1% increase in 2017 versus 2016. Based on those assumptions, the company is estimating that revenue for 2017 will increase approximately 6% to 10% over currently forecasted 2016 revenue. Should 2016 actual revenues fluctuate from our forecast or light vehicle production volumes change significantly, we would expect that these growth rates would be impacted. In the event of a material change in these assumptions, the company would provide additional updates to this guidance. We can now proceed to questions. Thank you.
Operator: . And we'll go first to David Leiker at Baird.
David Leiker - Robert W. Baird & Co., Inc. (Broker): Good morning everyone.
Steve Downing - Senior Vice President and Chief Financial Officer: Good morning, David.
Kevin C. Nash - Chief Accounting Officer and Vice President of Accounting: Good morning, David.
David Leiker - Robert W. Baird & Co., Inc. (Broker): I appreciate the increased disclosure and guidance as you look at 2016 and 2017. The question I would have is, as you look at slower revenue growth rates there, can you give us some characterization of the number of new launches that you might have in those time periods?
Steve Downing - Senior Vice President and Chief Financial Officer: Yeah, if you look at the number of launches over the last, say, three years, we continued that rate, kind of the rate that we're running at in 2015 to continue into 2016 and 2017. So I know there is a slight perception that somehow 2017 revenue guidance wasn't quite what you expected. We tend to look at it very differently and say that launches continue to be on pace. We're probably a hair pessimistic on the production estimates that we see out of IHS currently. If you look at the economic issues that are existing, both – really in our three primary markets, we probably tend to be a hair pessimistic versus IHS, IHS's projections. And that influences that kind of 6% to 10% growth rate that we published for the 2017 period.
David Leiker - Robert W. Baird & Co., Inc. (Broker): Okay. So, the launch numbers are the same and you're shading the build numbers a little bit?
Steve Downing - Senior Vice President and Chief Financial Officer: Yeah, really the trajectory is the same, not just the launch numbers, but the trajectory would be the same.
David Leiker - Robert W. Baird & Co., Inc. (Broker): Okay. The trajectory...
Steve Downing - Senior Vice President and Chief Financial Officer: Yes.
David Leiker - Robert W. Baird & Co., Inc. (Broker): Okay, trajectory is the same. You're shading the build numbers by a little bit. Is there an offset there in terms of what you're assuming in terms of pace of penetration growth?
Steve Downing - Senior Vice President and Chief Financial Officer: No, I mean, if you look at the penetration, our core penetration should stay about the same, but the real judgment of that would be the velocity of the line that we've been seeing on the launch side. That increasing rate of launches has really been pretty consistent over the last three years, and we don't see any change in that. So that was really – that launch ratio was really what correlates to the penetration story.
David Leiker - Robert W. Baird & Co., Inc. (Broker): Okay. Great, thanks. And then just I don't want to pull you on the quarterly numbers, but when you look at the acceleration in the shipment growth here going into the second half of the year versus the first half in 2015, as we look to 2016, is that more evenly spread across the quarters, or do you see higher growth in the first half or second half?
Steve Downing - Senior Vice President and Chief Financial Officer: Well, we always have better visibility into the first half of the year at this point just because we're starting to get call off (22:45) and releases obviously for anywhere from four weeks to 12 weeks depending on the OEM. So really, when you look at the first half of the year, we have pretty good visibility in that that tends to be pretty consistent with the second half of 2015.
David Leiker - Robert W. Baird & Co., Inc. (Broker): Okay, great. And a nice quarter.
Steve Downing - Senior Vice President and Chief Financial Officer: Thank you very much.
Kevin C. Nash - Chief Accounting Officer and Vice President of Accounting: Thank you, David.
David Leiker - Robert W. Baird & Co., Inc. (Broker): Right. Take care.
Operator: We'll go next to Ryan Brinkman at JPMorgan.
Samik X. Chatterjee - JPMorgan Securities LLC: Hi, this is Samik here on behalf of Ryan. Good morning. I just want to first start with the TransCore toll – sort of integrated toll solution that you had the licensing agreement for. And if you could give us any color on what it could mean in terms of revenue opportunity maybe in, really, like next three years to five years for you?
Steve Downing - Senior Vice President and Chief Financial Officer: Well, it's really early for that. I mean, we're – literally just at the beginning of January, we made the first presentation of that product to our customers at CES. So, we're just now starting to solicit feedback from them and working on that business case and what that application could look like in a vehicle environment. So, it's really premature to be giving any type of revenue guidance on that product.
Samik X. Chatterjee - JPMorgan Securities LLC: Okay. No, that's fine. And then, maybe on similar lines, what is your appetite for maybe like doing similar licensing agreements, or are you more focused at looking at like bolt-on acquisitions? And if you're looking at acquisitions, what are the nature and maybe the size of those that you would be interested and what would you be interested in looking at?
Steve Downing - Senior Vice President and Chief Financial Officer: Sure. So, on the licensing agreement side, absolutely, we're always interested. If you look in the company's history – and we probably haven't talked about this publicly as much as we should, but a lot of the products that we've developed have been either licenses, cross-licenses or joint developments with other companies. And so a lot of the products that we've developed over the years come from that same type of development model. So, it's absolutely something that we're interested in. The relationship worked really well. Our location made sense and the geography that we occupy and the vehicle made sense for this product. So, it was kind of a natural fit between us and TransCore, and we're excited about that relationship. If you look at the M&A front, Gentex is obviously very interested. We do a lot of – spend a lot of time on due diligence looking at different types of products, things that would make sense in combination with our business. As you know, most of those fail for various reasons. There is no natural size limitation in terms of what we're willing to do. The HomeLink acquisition was a $700 million acquisition. So, there is not a theoretical limit in terms of size that we'd walk away from and nor is there a theoretical limit on how small a deal has to be before we're interested. If it's a good strategic fit and that makes sense, it's something that we're very interested in. And one of the things we've been focused on as a team over the last few years is trying to widen that pipeline. Historically, the company hasn't been very active in that front, and it's one of the things that we're interested in becoming more aggressive in.
Samik X. Chatterjee - JPMorgan Securities LLC: That is very helpful. And just now to go back to the guidance of 2016, and the CapEx guidance looks a bit high. I think it comes to like 7% of sales. Usually you do like a 5% to 6%, so just wondering what is driving that and doesn't sort of come back down in 2017 to a more normal level?
Kevin C. Nash - Chief Accounting Officer and Vice President of Accounting: Yeah, I think if you think about what we talked about in 2014 and 2015, really both of those years, we were on the low end of our guidance, and it's primarily due to timing. And so we're really – some of the stuff pushed into 2016, but then we're starting to work on finalizing the capacity expansion for the building, but then we had to start working on filling it with equipment that helped with the equipment capacity. And then if you think about historically, I think the last couple of years we've been in the 5% to 6% range, but we're still low off of our record highs posted in the 2010-2011 timeframe. So we're comfortable with the growth there and there is business to support that growth.
Steve Downing - Senior Vice President and Chief Financial Officer: And just as a comparator, I know those years that Kevin is talking about is anywhere from 15% to 20% of revenue has gotten as high. So we over the last three years have worked really hard to get that down to a more sustainable level. But we're going to move that CapEx roughly in line with sales. And really if you look at the – like Kevin mentioned, the timing issues that existed over the last two years, especially associated with the building side of that project, not necessarily with the equipment side, but the building is what pushed out and had some timing implications. If you look at that and extrapolate that over a few-year period, you would see that the projection that we're giving you should roughly approximate sales growth levels.
Samik X. Chatterjee - JPMorgan Securities LLC: Okay, okay. Got it. And just finally, a quick follow up on David's question on the 2017 guide. Would you be able to sort of comment on how much of that 2017 guide – revenue guidance that you've given today, how much of that revenue is booked already?
Steve Downing - Senior Vice President and Chief Financial Officer: Yeah, most of that business is booked already. It's – honestly, at that stage, we feel very comfortable. I mean, sometimes there are still some PO issues left outstanding that far out, but I mean we have very good indication on what that business is and it's going to be. It's more a function of economic conditions and take rate rollout. The business as booked, per se, you can't control take rates. OEMs won't guarantee take rates, so that's really the only kind of missing factor, the thing that we can't control on the 2017 timing.
Samik X. Chatterjee - JPMorgan Securities LLC: Okay, great. Thanks for the questions. Thank you.
Steve Downing - Senior Vice President and Chief Financial Officer: Thank you.
Operator: And we will go next to John Murphy at Bank of America. Sir?
Aileen Smith - Bank of America Merrill Lynch: Good morning, guys. This is Aileen Smith on for John. Just a first question, how much further do you think you can ramp down your operating expenses and in particular R&D just as a percent of sales, operating expenses continue to decline, do you think there is further room to go to leverage your cost structure?
Steve Downing - Senior Vice President and Chief Financial Officer: Well, they are not declining on a pure dollar basis. And there really – lot of 2015 was about foreign currency fluctuations. We're still growing our staffing and our expenses and our testing and development expenses. We saw a favorable benefit in 2015 from that, from the foreign currency side. We would expect in 2016 for that to normalize because if you think about a year ago, the rates – the euro rate dropped significantly in Q1 of 2015. So it's not really ramping down, we're continuing to invest in it going forward.
Aileen Smith - Bank of America Merrill Lynch: All right, thank you. And can you get us an estimate of your product mix in 2015? What percent of your shipments included HomeLink, SmartBeam or other offerings (29:08) versus just the base Auto-Dimming Mirror?
Steve Downing - Senior Vice President and Chief Financial Officer: So about 50% of our inside mirrors ship with some form – at least one, but many of the multiple advanced features. So, if you look at our inside mirror unit shipments, that kind of 50-50 break is about where the company has been running over the last two years, and we don't expect that to change significantly going into 2016.
Aileen Smith - Bank of America Merrill Lynch: And can you give us an estimate of your full display mirror shipments and where do you see that going in the years ahead, especially as you have some OEMs launch up on those products?
Steve Downing - Senior Vice President and Chief Financial Officer: Sure. So, really in 2015 we really shipped I think like 150, maybe 200 mirrors – full display mirrors at the end of 2015. And that product really just starts ramping this year. It's not going to be material to the business in 2016 or really even in 2017 for that matter. So it's really that you're talking about two to three vehicles in the 2016-2017 timing that are going to be executing full display mirror. That's really an 2018 and beyond growth story for the company.
Aileen Smith - Bank of America Merrill Lynch: Okay. And just one last quick one. I mean, we heard some things for U.S. auto sales in December, there being weakness in the luxury market. Are you seeing that amongst your customers in any sense?
Steve Downing - Senior Vice President and Chief Financial Officer: Well, we noticed that some of the more luxury vehicle sales drop, but for us, if you look at the growth of the business and how much more diversified now we are from a segmentation standpoint, that didn't really affect us in a negative way in the quarter because we are able to be part of the growth story around B and C segment vehicles and some of the other segments of the industry that are growing. We do see it. I don't think I'd necessarily predict it as a trend other than just a one data point. It does kind of take us back to though our point about being probably here more pessimistic on the IHS number show which is what affected our 2017 growth trajectory?
Aileen Smith - Bank of America Merrill Lynch: All right. Great. Thank you, that's very helpful. I'll pass it on.
Josh O'Berski - Head-Investor & Media Relations: Thanks, Aileen.
Operator: We'll go next to Christopher Van Horn at FBR.
Dan Drawbaugh - FBR Capital Markets & Co.: Hi, guys, this is actually Dan Drawbaugh on for Chris. First congrats on the quarter. Can you talk a little bit about sort of how the international mirror shipment mix has been changing, where you guys have been seeing better growth? Because I mean, you're putting out 22% interior mirror growth in the quarter. I mean, how does it look in Europe, how does it look in Asia?
Steve Downing - Senior Vice President and Chief Financial Officer: It's actually, I mean, if you look at the peer volumes of cars produced there, it's pretty evenly split. That growth rate for us is pretty evenly split between a few regions. And if you look at the raw numbers, it'd be pretty much impossible for us to get there if it weren't to that type of growth level as those volumes. Honestly, the big thing in Europe has been, and in the Japan and Korea markets as well, is that penetration story continues to go deeper not only on the vehicles we're on, but also on the new vehicles we haven't been on before. So for instance last quarter we talked about A and B segment vehicles in the Japan and Korea markets that we're just getting our first business with, and that product success continues to roll out on the other vehicles in those markets. And the European market, it's always been a market that's been a little weighted towards the smaller car segment. And really the last three years we have been very successful at penetrating that market and that success store continues to grow.
Dan Drawbaugh - FBR Capital Markets & Co.: Okay. Great. Thank you. And then I guess, to go back again to the 2017 numbers, can you sort of walk me through how we lined up at that 10% mark? What exactly do you guys have to execute on, and what's sort of the upside opportunity there?
Steve Downing - Senior Vice President and Chief Financial Officer: Sure. So if you look at the 2017, I think you asked us specifically about the 2017 guidance. If you look at the 2017 guidance, in particular, there is really not a whole lot for us to execute on that time other than, really what we're dependent on in that time period is we've already developing the product, launching the products, testing and validating those products before launch. The real growth story comes down to economic issues in the regions that we're operating and selling in, and hoping that nothing changes significantly there economically more importantly than it becomes about a take rate, make it sure that OEMs execute with the best take rates possible for us. So that's really the work we had to do between now and then as working with their product lining teams and their marketing teams making sure that our products get offered hopefully in the best packages that are available. Other than that, there is not much that we need to do to bring that business home. We've already sold the product per se, we've launched and executed it or finishing that process, and now it's just about the rollout and execution from an OEM side.
Dan Drawbaugh - FBR Capital Markets & Co.: Okay. Great. Thank you. Also I guess, looking ahead to that, looking ahead of that 2017 timeframe, can you talk a little bit about where you sort of see ASPs going, not just in 2017 but in 2016 as well? You guys have been pretty good in sustaining those with the additional content. Can you talk a little bit about where you think they'll go by that 2017 timeline?
Steve Downing - Senior Vice President and Chief Financial Officer: Sure, I mean, if you take out the APRs that we've always talked about kind of being in that 2% to 3% range from an annual price reduction, so that's kind of the headwind. So on average if you're looking at anywhere from a $40 to $45 price point, you're talking about $1, $1.30 headwind at the beginning of every year. So we have to find content to help offset that. Really, if you look at 2013 and 2014 most of what drove the ASP downtrend was the loss of our CD mirrors, they are significantly higher priced products then our average. We had those losses in the North American market. So that negatively impact the last few years. If you take that out, what you would have seen was an overall growth trajectory of our ASPs. That's driven primarily by increase in penetration of electronic content. It is natural offset a little bit by introduction on lower segment vehicles that we're just introducing on at below corporate ASPs. And then ultimately for us what we're excited about is, when you talk about the advent of full display mirror and its launch over the next several years, we expect that especially in 2018 and beyond to have a positive impact on ASPs. Now, the other deterrent to ASP has always been our outside mirrors, they are below average ASP. And so as that business grows faster than the inside mirror business you'll see another negative factor on ASP mix. If you look at what the trajectory looks like for the next couple years, we really see those kind of growth rates kind of moving in parallel with each other. So we wouldn't expect a whole lot of negative ASP headwind from the outside mirror business at least in the next two-year period.
Dan Drawbaugh - FBR Capital Markets & Co.: Okay. Awesome. Thanks for all the color on that. I'll step back in the queue.
Steve Downing - Senior Vice President and Chief Financial Officer: Thank you.
Josh O'Berski - Head-Investor & Media Relations: Thanks, Dan.
Operator: And moving next to Jason Rodgers at Great Lakes Review.
Jason A. Rodgers - Great Lakes Review: Good morning.
Steve Downing - Senior Vice President and Chief Financial Officer: Good morning.
Kevin C. Nash - Chief Accounting Officer and Vice President of Accounting: Good morning.
Jason A. Rodgers - Great Lakes Review: I wonder if you could talk about what assumptions you have embedded into your 2016 guidance for SmartBeam and HomeLink.
Steve Downing - Senior Vice President and Chief Financial Officer: Sure. If you look at the HomeLink business, we've been talking fairly candidly about that growth trajectory really since the acquisition, and that's kind of been at the top end of our growth range, and we expect that to continue into 2016. On the SmartBeam side what we've continued to see is, there has been quite a few new launches on that front, and we don't see anything materially changing with our SmartBeam business in 2016 versus what we've seen over the last several years.
Jason A. Rodgers - Great Lakes Review: And speaking of SmartBeam, are you seeing any increased competition for that product either on the higher or lower trim levels?
Steve Downing - Senior Vice President and Chief Financial Officer: Yeah, if you look at, well, it's really not on the trim level per se, but what it is, there has been increased competition, not from a product-to-product comparison standpoint, but when an OEM decides to go a higher end driver-assist package, it's obviously less expensive for them to add that content to an existing driver-assist system than it is to launch with our product. So that has been a headwind over the last say four years as the driver-assist systems have been ramping up. But we've been able to drive the penetration story on the lower end vehicles on different trim levels. And so we've been able to more than offset the headwind from that competition. One of the things that we are excited about on the product side is there is a lot of renewed interest in lighting and the value it creates. The North American market, NHTSA, and some of the governing bodies are starting to see and look at the value of lighting as a standalone feature. And so we're excited over the next three years to five years of what that could mean for our product. Just a quick reminder, historically our best product, which is our Dynamic Forward Lighting are all the time on high beam, so it's not been legal in the U.S. market. So that product has only been sold in the European market over the last several years. We believe with some of the legislation changes or concepts around changing that legislation, we're excited that, that product may be legal in the U.S., which could help promote the growth of the SmartBeam product in the North American market.
Jason A. Rodgers - Great Lakes Review: Okay. And you mentioned the annual customer price reductions in the 2% to 3% range. Is that the level you expect them to remain for this year or maybe next year, or do you think there might be some potential pressure there?
Steve Downing - Senior Vice President and Chief Financial Officer: No, I think when you look at the whole book of business and taking into account the pressures that exist in the industry right now, we think that's probably a fair estimate of what annual price reductions will look like over the next couple of years.
Jason A. Rodgers - Great Lakes Review: Okay. And then, finally just a few numbers question. If you have the impact, foreign currency impact on sales and SG&A in the quarter, as well as the share repurchase, if you have the total spend in the quarter or the average price per share. Thank you.
Kevin C. Nash - Chief Accounting Officer and Vice President of Accounting: Yeah, so on the sales side it was somewhere between 50 basis points and 75 basis points of the headwind on the revenue side. On the SG&A side, it was most of the decline on a year-over-year basis. And then on the share price, that was just over $16 per share average
Steve Downing - Senior Vice President and Chief Financial Officer: For Q4.
Kevin C. Nash - Chief Accounting Officer and Vice President of Accounting: For Q4.
Jason A. Rodgers - Great Lakes Review: Thanks a lot and good results.
Kevin C. Nash - Chief Accounting Officer and Vice President of Accounting: Thank you.
Steve Downing - Senior Vice President and Chief Financial Officer: Thank you.
Operator: And we'll go next to Rich Kwas at Wells Fargo Securities.
Ron J. Jewsikow - Wells Fargo Securities LLC: Hi. This is Ron Jewsikow on for Rich Kwas. You just briefly touched on the NHTSA proposals for crash avoidance technologies. I was wondering if you could maybe expand on the opportunity there for various lighting technologies to maybe gaining some business.
Steve Downing - Senior Vice President and Chief Financial Officer: Well, if you look at the rating, and I'll let Neil kind of go into the ratings and what the proposal is on that front, but historically the ratings have all been based off of the drive assist feature set. Lighting has never been a part of that calculation. The governing bodies are starting to look at; A, what does the really data tell you in terms of safety and crash avoidance issues, lighting has a more valuable input than what they had looked at it in the past. And so they're looking at going forward changing some of those calculations. So Neil, if you want to...
Neil Boehm - Vice President-Engineering: Yeah. This is actually the first time that it's actually been included, lighting has been included in the NCAP evaluations or investigation. So if you through the whole documentation and NHTSA is out getting comments on right now, they actually have semi-automatic high-beam control as one of the features that they want to give points for, and that's another name for SmartBeam which is our standard on-off product today. So we're pretty excited about them actually evaluating, and looking at the opportunity to add lighting for points and system.
Ron J. Jewsikow - Wells Fargo Securities LLC: That's very helpful. And then just clarifying your 2016-2017 guidance. You mentioned on some of the production estimates that maybe are little more pessimistic then where IHS is. Is that predominantly North America, or are there other risks you see in some of your other regions?
Steve Downing - Senior Vice President and Chief Financial Officer: Well, I think, I would say, probably predominantly North America, but when you look at the Japan and Korea market over the last several years, it had a little uptick this year. But if you look at the last four years to five years on the Japan and Korean market for instance, that's been on a pretty steady slide. Economically, we're all pretty familiar with some of the issues that reside in all those regions. And so it's difficult to assume that there is going to be continued growth without any hiccups over a two-year period. It's pretty unusual if that were to happen given the kind of the warning signs are out there. We're obviously hopeful that none of them are catastrophic like we've seen in the last 10 years. But even then they would tend to moderate growth rates, and then potentially cause other problems related to the average sell price of the vehicles themselves. And so that's why we tend to discount that IHS forecast slightly when we're making our predictions that far out.
Ron J. Jewsikow - Wells Fargo Securities LLC: Yeah, that's very helpful. Thanks guys and congrats on the quarter.
Steve Downing - Senior Vice President and Chief Financial Officer: Thank you.
Operator: And we'll go to Anthony Deem at KeyBanc.
Anthony J. Deem - KeyBanc Capital Markets, Inc.: Hi, good morning.
Josh O'Berski - Head-Investor & Media Relations: Good morning, Anthony.
Anthony J. Deem - KeyBanc Capital Markets, Inc.: Hi. So with your stock at the lowest multiple I have for your history because of the secular concerns, it's really a two-part question, and I appreciate the visibility on the launches and the revenue for the next two years. But I'm wondering; one, can you directly address or remind us why cameras won't replace mirrors past 2017. And if you do see the risk, can you quantify it somehow for us? And then just secondly, as these concerns persist near term, can you talk to the opportunity and the willingness of you all to accelerate your share repurchase program? Your authorizations only add about 2% of your fourth quarter share counts. So it seems a little bit low. Thank you.
Steve Downing - Senior Vice President and Chief Financial Officer: Yeah, so first on the cameras and displays replacing mirrors concept. One of the things we like to point out as part of the prepared comments was designed around answering that question. The only thing that we're aware of that's been awarded anywhere in the industry currently is our product. Like we mentioned, we have several, including GM, we're working with four OEMs for launches over the next two years, 18 months to two years. We believe that that's not limited to luxury brand as evidenced by the Chevy Volt announcement by General Motors. We look at that and say, hey, if you're comparing the actual, the theory of replacing a mirror with a camera and display has been around for a long time, in theory it works perfectly. The actual day-to-day driving environment would suggest that that's not as practical as what people would like to believe. Your mirror is used for many things, cameras and displays have a lot of technical issues that will cause them not to work at different times, not just failures in the electronics themselves, but also given where we live we're covered in snow and ice for half a year. So we're very familiar with the concept of all of the risk factors that can go into that concept. Additionally, if you drive a camera and a display with no rearview mirror, you realize you use your mirror for a lot more than just rearview. You also use it for cabin interior view and a lot of other things that product is useful for. So we believe that our combination product is actually the right technical solution for an OEM. We're very excited about the growth trajectory of that product over the next several years. So it's impossible for us to quantify what a loss would look like because we haven't had one yet, and we've not seen one yet. So one thing we want investors to be rest assured about is that, the cameras and display technology that we're working on with full display mirror are the same types of technologies that could replace mirrors in the future if someone wanted to. The company has every intention on else creating that market ourselves, and finding a way to be a part of that market regardless of what it becomes in the future. And then Anthony you asked me another question, and I am blanked.
Anthony J. Deem - KeyBanc Capital Markets, Inc.: Share repurchase.
Steve Downing - Senior Vice President and Chief Financial Officer: Share repurchase, yeah, how did I forget? I think, the important part there is to remember that, you back up 18 months and it was a zero. And you look at where we're at now, and we're running kind of in that, $100 million to $120 million a year range. As long as our earnings hold off, that's our intention is to continue that pace. Obviously, at these prices the conversations internally do revolve around, is this an opportunity regardless of an anti-dilutive effect and being consistent from offsetting the options program. The conversations internally do start to revolve around, at what point is it just so under priced that you have to become more aggressive. As of Q4, we haven't reached that conclusion or decision yet based on the amount of repurchases in the quarter, but it doesn't mean it can't happen in the future.
Anthony J. Deem - KeyBanc Capital Markets, Inc.: Great. Thank you.
Steve Downing - Senior Vice President and Chief Financial Officer: Thank you.
Operator: And gentlemen I have no further questions at this time. I'd like to turn the program back over to you for any additional or concluding remark.
Josh O'Berski - Head-Investor & Media Relations: Okay. Thank you everyone for listening and for the great conversation and questions. We look forward to hearing from anyone who has any further questions. Thank you.
Operator: And ladies and gentlemen once again that does conclude today's conference. And again thank you for joining us today.